Heidi Gillette: Thank you everybody for joining us and welcome to the SL Green Realty Corp’s fourth quarter and year end 2009 earnings results conference call. This conference call is being recorded. At this time, the company would like to remind the listeners that during the call, management may make forward-looking statements. Actual results may differ from predictions that management may make today. Additional information regarding the factors that could cause such differences appear in the MD&A section of the company’s Form 10-K and the other reports filed with the SEC. Also during today’s conference call, the company may discuss non-GAAP financial measures as defined by the SEC Regulation G. The GAAP financial measures most difficulty compare to each non-GAAP financial measures discussed and the reconciliation of the differences between each non-GAAP financial measure and the comparable GAAP financial measure can be found at the company’s website at www.slgreen.com, by selecting the press release regarding the company’s fourth quarter year end earnings. In December executive management provided substantial commentary at its Investor Conference, addressing those past performance as well as detailing the estimates for 2010. Therefore for today’s call we will be utilizing an abbreviated format from that of quarter’s past. Initial commentary will come only from Chief Executive Officer, Marc Holliday. Then we will turn the call over immediately to Q&A. As a reminder for the Q&A section, please limit your questions to two per person. Thank you, I will now turn the call over Marc Holliday.
Marc Holliday: Thank you Heidi, and as Heidi just mentioned we had last month our Investor Conference which turned out to be very successful and very well attended event and appreciation to all who attended and participated. At the conference we discussed in detail numerous topics impacting the SLG portfolio and set out near-term goals and objectives. The year has just begun but we are well on the way to accomplishing many of the goals and objectives that we set out in December and I think many of those accomplishments can be seen either in the fourth quarter results or in the leasing release that we put out there this morning for some recent events. I’d like to review with you some of the goals and objectives for 2010, talk about how the recent activity is pointing us in the right direction and then we’ll open it up for some Q&A. First goal and objective was to sign greater than 1.5 million square feet of Manhattan leasing. We made great strides towards that as you saw this morning with the recent renewal of BMW at 555 West 57th Street in a transaction for 228,000 square feet. Those conversations were ongoing for quite some time but I’m happy to report that we and BMW were able to agree and get the lease done and I think in part the sentiments towards a bottomed market that is about to rise again helped spur those discussions towards a conclusion. And if you look how that lease plays into some other of our totals. We now have reduced expirations in 2010, 2011, and 2012 by 388,000 square feet in total against what you see in the fourth quarter supplemental. So, there was substantial inroads we made into future leasing just in this recent quarter and I think that really is illustrative of a market that we started talking about as being recovering on the last call and certainly in our December Investor meeting. Overall Manhattan vacancies stayed level at around 11.25%. Midtown vacancy is right around 12% with nine direct three sublet and basically even fourth quarter over third quarter in that regard. In December market-wide there was in Midtown 1.6 million square feet of leasing which resulted in positive absorption in December, the second month in a row, and currently we have 30 leases out being negotiated covering 650,000 square feet. So certainly as it relates to the market and our leasing goals, I think we’re on track. Second one to note was the sourcing of $250 million of new investment opportunities just days after having the Investor Conference we announced the acquisition of a first mortgage position with $189 million of funded outstanding balance on 510 Madison Avenue. And while we are limited and I’ll be limited as to what we can discuss regarding this investment in the Q&A, I can tell you that we think it’s a terrific asset, very well located and we’re confident that we’re going to meet or exceed our investment objective with respect to this asset. Moving onto 1515 Broadway, we set out multiple goals. One was the repositioning of the retail and with the signing and announcement this morning of the Aeropostale lease at 1515 Broadway for 17,000 square feet of space which some of which was taken back from an existing tenant and some of which was recaptured from Viacom, when we did our early lease renewal. I’m thinking about almost two years ago now, the combination of those events puts us very far along to complete retail repositioning that we had announced to people and the value added component of the space take back is now largely completed with this lease. Also we were able to refinance the maturing debt on 1515 Broadway, you will recall there was $625 million maturing in 2010. And we announced just within the past few weeks the successful closing of that transaction with a new $475 million five year mortgage loan which basically puts that building’s capital structure to bed for the intermediate term. So the combination of the Viacom early lease renewal with the retail repositioning, the refinancing of the indebtedness, and the completion of the redevelopment which was completed on January 1 and on time, this asset is largely repositioned, recapitalized, and for the time being put to bed for us. There was also goals with respect to completing the foreclosure and commencing the repositioning on 100 Church Street, there again within the past few days or weeks, we announced the successful completion of the foreclosure, consolidation of ownership and extension and modification of underlying indebtedness on 100 Church Street, all of which is now behind us, we will be able to successfully move forward with an aggressive marketing campaign that as I said in December, we hope to at a minimum have 150,000 to 200,000 square feet of tenants identified and under lease in 2010. All of this activity in part used cash and with our goal of maintaining floor liquidity of $350 million of unrestricted cash, we found an opportunity in the market to issue $125 million of preferred equity at terms we believe were attractive for the company, continues our goal and overwriting objective of deleveraging which we’ve been doing now for 18 months, that we made substantial strides in that regard. So much so that we’ve partially obtained another one of our goals which was the upgrading of the rating on the RECs and bonds where Moody’s just recently came out and raised the rating on the outlook to stable on RECs and bonds. So we were happy to be able to get all of that done on the balance sheet side and lastly, while it doesn’t fit into any of the specific goals and objectives we posted in December, we did complete the successful restructuring and modification of the indebtedness at [6 26th] Avenue, that was something that I think had been reported as in foreclosure. But since that time we’ve been able to come to agreement with the borrowing groups who have invested new cash equity on a subordinated basis into the property and as such we will be returning that asset to performing status. So I would say all in all, that was not only a very successful quarter but quite a busy and very satisfying six or seven weeks since the Investor meeting and we wanted to give you that as an update because its more than we frankly had expected. All these things we felt were likely to occur just not as rapidly as they wound up occurring. We’re happy that they did and it really just sets us up that much better for 2010. Here we are still just the middle of January and I think we’re in great shape towards finishing off all the other goals and objectives that we have remaining for the year. So, with that I’d like to open this up for Q&A. 
Operator: (Operator Instructions) Your first question comes from the line of John Guinee - Stifel Nicolaus
John Guinee - Stifel Nicolaus: A lot of activity, good, okay. 
Marc Holliday : Its all in perspective, I read this morning not a lot, so its all a matter of perspective. 
John Guinee - Stifel Nicolaus: Good point, can you just clarify for us on both 510 Madison and 100 Church, what your investment is to date, how much more money you expect to put in for the base building, your TI lease commission budget, your OpEx carry budget, and then your imputed cost of capital through till stabilization in just sort of round numbers. 
Marc Holliday : I think the first part is, I don’t know that we really can do that. We don’t punt on questions, but this one, its in the structured finance book. The note amount I mentioned earlier was $189 million plus or minus that’s been funded. There are facilities for future funding but that the borrower may or may not be eligible for as time permits and its very hard to say at this time what will ultimately be expended by us on the project not knowing exactly the outcome of the indebtedness. So I think we have to just take a pass on that one and fortunately maybe give you more color in the future as it comes to pass.
John Guinee - Stifel Nicolaus: And how about 100 Church. 
Marc Holliday : There with respect to 100 Church, just so I get it, what exactly is the question. 
John Guinee - Stifel Nicolaus: What your investment is to date, additional budget for base building capital, TI and leasing commission budget, other imputed costs until you get to stabilization so that people can figure out what your expected basis will be in the asset.
Andrew Mathias : Our basis today is around $55 million in terms of cash and with the transaction we did with Gramercy Capital and the participation we would peg that today net of cash reserves at the loan level, at around $150.00 a square foot. And we would anticipate to be stabilizing the asset, obviously it’s a function of the time it takes to lease it up and the type of concessions we have to do to tenancy on top of that, but we do have 600,000 square feet or so to lease of the building and we’re encouraged by the activity we’ve experienced thus far. 
Marc Holliday : But its safe to say the bulk of the TI and leasing is sitting in cash with the lender at this point, available for draw. 
Andrew Mathias : Yes, that will be additive to basis that I gave, but yes.
John Guinee - Stifel Nicolaus: And your basis right now is roughly $150.00 a foot on the loan and another $55 million in equity. 
Andrew Mathias : The $150.00 includes the $55 million of equity. [inaudible] because there’s no more loans, it was foreclosed so we have $55 million of cash invested in our basis and the asset has run $150.00 per square foot but that’s net of cash reserves held at the loan level so I guess Marc’s point is you shouldn’t expect to see our cash basis increase significantly because we’ll be spending reserves from the loan level and you’ll see the basis rise but you won’t see our cash investment go up significantly from $55 million, we don’t project. 
Marc Holliday : Right and the total per foot we think on a fully funded basis is somewhere between $200.00 and $225.00 a foot. 
Operator: Your next question comes from the line of Ian Weissman - ISI Group
Ian Weissman - ISI Group: Can you just talk a little bit about the acquisition market, you tested the market late last year with 45 Lex, we hear there’s a lot of capital out there, just not a lot of product, do you see yourselves coming back to market with additional assets this year. 
Marc Holliday : I think you should expect us to come back. Its really going to be a question of whether we come back with something larger along the lines of a 485 Lex or whether the market will be open to properties that we’ve sold in the past which have typically represented our non-core product where we don’t think we can get enough value added return and pare down sort of the lower 10% to 15% of the portfolio and sell that. I think that would be our preference because that’s consistent with our business strategy over many years. The market for that was not there last year because people were limited capital there was, was only focusing on pure well located Class A assets but I think as capital on the sidelines realizes that it can’t necessary meet its yield objectives for what they were hoping to get higher returns on Midtown assets that they’ll reach further into other asset classes that we may be able to sell properties into for our own business purposes. So I think the answer is you’ll definitely see us continue to be an asset recycler in 2010 but we are reconsidering which assets to bring back to market and at what price levels. 
Ian Weissman - ISI Group: Just as a follow-up to that, what are the return hurdles that the capital on the sidelines today is looking for. 
Marc Holliday : Well I think it depends on which assets. There are people that I think would love to own Midtown assets at unlevered returns, nine to 10 and levered returns of low to mid teens for dead on Class A assets. Those are very hard to come by so I think you need to be very creative and you’ve got to be pretty flexible in structuring in order to achieve those kinds of results. But I would say that’s where we’ve targeted, set our sights at kind of 8% to 10% unlevered and 12% to low teens kind of levered returns for good core product. So I think that’s where capital should be. People are probably looking for returns that are even higher than that, at least on a levered basis. But I don’t think you’re going to see any transactions because there’s just nothing available at numbers north of that, that would fit the, what I would call good, well located Midtown assets. 
Ian Weissman - ISI Group: Would you put a dollar value out there today on what you think you could sell this year, or not ready to do that. 
Marc Holliday : No, I think we should hold off because its not going to be, this will be driven more by how much capital we can generate as opposed to the nominal headline amount of volume so it could be a smaller unencumbered asset that’s, where we get all equity or it could be a levered asset where it may have a bigger headline price but a much smaller amount of equity. I don’t think we’ve set any targets in that regard. We put out an acquisition goal of $250 million. I think that we’ll wait and see on the sales but I can almost be certain that we’ll be delivering product into the market and none of what we hold today is small product. 
Unspecified Company Representative: And that will obviously be influenced by the amount of investment opportunity we see as well. 
Operator: Your next question comes from the line of Michael Knott – Green Street Advisors 
Michael Knott – Green Street Advisors : Can you provide any update that there may be on Aqueduct.
Marc Holliday : There’s really no update that I have on Aqueduct over and above what we reported back in December. Unfortunately its still a decision that is reportedly imminent and I think everybody seems to be anxious for a conclusion to the process, us included. But I can’t really tell you that there’s any series advancement one way or the other since the Investor meeting where we covered Aqueduct in some level of detail. What I would tell you is we’re certainly hopeful that the decision makers will reach a consensus as early as this week and hopefully we’ll be selected given what I think we’ve proposed as the best in class team and the best proposal for the state. But we’ve had that proposal out there for some time now and we’re just actually awaiting the conclusion. 
Michael Knott – Green Street Advisors : And then on the Graybar Building, it looked like there was a noticeable decline in occupancy this quarter, I’m just curious if that took you by surprise and then also I think that you have historically thought of that as at least indicative of the small tenant market, any conclusions there on what happened at that building or any comment. 
Unspecified Company Representative: No, we took a couple of pieces of space back that were part of our restructuring, some tenants that got into trouble. Those discussions sort of were in the middle of the year and then by the time we worked ourselves through it and took it back it was, it came into the fourth quarter. But the volume of transactions as we sit here today in Graybar is still pretty healthy. I don’t really see, I’ll give you just a quick edit. We’re doing a deal right now for 12,000 square feet and leases are pretty well advanced in discussions and it looks like that deal may get knocked out by somebody who wants to do a deal for twice as much square footage so we still have good activity and I don’t think there’s a huge, anything you should read into it. It just happens to be that this year and next year, are big lease rollover years for this building and so we’re going to see a little bit of erosion in occupancy because of that but I still think the leasing activity is going to hold up. 
Unspecified Company Representative: And I think that was contemplated in kind of where we forecasted the occupancy to end up. You saw it drops there, you also saw it drops over $13.50 that we’re kind of also expected, and so you’ll see rebounds here in the first half of the year but that was contemplated as part of where we thought we’d end the year up.
Operator: Your next question comes from the line of Jamie Feldman – B of A Merrill Lynch 
Jamie Feldman – B of A Merrill Lynch : I was just wanting to get a little bit color about how you’re thinking about TI and rents in the early stages of a recovering or bottoming market. 
Unspecified Company Representative: I think the general consensus amongst owners and certainly from our perspective is that we’re going to see concessions tighten up this year. I haven’t seen a material increase in the concessions that we’re giving tenants or even in tenant proposals in the past, I’ll call it six months. And I think the general feeling is that as the year goes on you’re going to see the first thing that will happen in an improving market is the concessions will tighten up, security deposits will increase, the length of leases will increase, and we’re already starting to get [signs] for that. Having said that, there’s still a big demand from tenants out there who are looking to preserve their capital and are looking for built spaces but what they’re finding when they go into the market are fewer less willingness by landlords to actually spend a full ticket to do a complete build out on spaces and they’re finding sublease spaces that are of high quality becoming fewer opportunities. So I think that combination is going to drive concessions to reduce throughout the year. 
Marc Holliday : I would just add you should expect that in the first and second quarters next year that you’re going to see it back at the levels that we saw in the second and third quarter this year, the fourth quarter we came in on average of 14 because we were able to do a great renewal with BMW that had very, very limited capital and that’s why the average ticked down to just 14 for the quarter so a great kind of as is deal. But they will be to the first half of next year, a little bit fuller than that, first half of 2010. 
Jamie Feldman – B of A Merrill Lynch : And then do these kind of market fundamentals also extend to the suburban portfolio. 
Marc Holliday : I think that has its own set of dynamics in the suburban portfolio. There again there was a substantial amount of leasing that was done in the fourth quarter. There was some rental erosion which showed up on a percentage basis on the dollar basis. Its modest because the rents were fairly loaded to begin with and there I think we’re competing on the basis of concessions still but its just the dollars are so much less as compared to what we are confronted with here in Manhattan that we don’t think its going to have a significant impact on cash flow or the way we look at it in those terms. But its clearly something that we have to competitive with and the TI terms there are still, the markets there is not as advanced as it is in Manhattan. 
Unspecified Company Representative: I would just add to that you did see a big uptick in the suburbs on [free] rent and portfolio this quarter where it averaged 7.8 months, but that was really attributable to a single 11 year deal that we did where we ended up giving a year free so that was a longer than usual term, so long-term lease there so you did see higher than normal free rent on, for the quarter out there. 
Operator: Your next question comes from the line of Jay Habermann - Goldman Sachs
Jay Habermann - Goldman Sachs: I’m not sure I recall from the Investor Day but could you just update us on the structured finance. You’ve got I guess close to $400 million that matures in 2010, are you expecting any cash I guess on the balance sheet from those transactions or I guess what needs to take place in order for that to realize, to get your cash back. 
Unspecified Company Representative: Included in that number is the 510 funding that we just did. So that money just went out the door. I think its reasonable at this point to expect, we need to see where 510 is going to fall out on the balance of those we would expect at this point minimal repayments and are kind of working through some restructuring there. 
Jay Habermann - Goldman Sachs: And just to be clear on 510 there’s virtually, does that sit almost 100% vacant today. 
Andrew Mathias : Yes, the construction is not completed yet, so its scheduled to be completed around May, between March and May and there are two leases signed at the property, but nobody is in occupancy now. 
Jay Habermann - Goldman Sachs: But in terms of what’s been leased to date—
Marc Holliday : The two leases that Andrew just referred to. 
Jay Habermann - Goldman Sachs: And as a percentage is that 10% of the building or—
Marc Holliday : A small percentage of the building. The building, I don’t know how aggressively its been marketed until its gotten closer to its completion date. 
Jay Habermann - Goldman Sachs: And I guess, the decision to issue the preferred, I know you obviously just got the upgrade on the RECs and bonds, but would you consider issuing unsecureds and I guess at what rate, does that make sense. 
Unspecified Company Representative: I think the decision to issue the, if you look back when we [inaudible] our equity offering it hadn’t contemplated really many new investments so making the sizable investment that we did at 510 we thought it important to get some additional equity into the company. We got some indications from some folks that were interested in putting money out in those type of securities and so we went ahead and [upsided] that deal at pricing that would really suggest that it was an investment grade credit. We are as Marc alluded to spending time with the agencies trying to get an upgrade as to where we’re rated there and so think if you look in other instances I think its reasonable to think that unsecured notes could trade anywhere between 25 and 75 basis points, kind of inside where pref equity trades with subordinate. So that deal went off at 8 1/8 so that kind of spread is inside of there is I think the right way to think about it. 
Jay Habermann - Goldman Sachs: You had mentioned the 650,000 square feet of potential leasing, how much has that changed in the last say 30 to 60 days, is that pool growing or—
Marc Holliday : We had a big [queue] going into December and January which we just, the results of which you’ve just seen in the various releases. So I would say its growing for sure over what we’ve had in the second half of the year and its grown considerably over what we had in the first half of the year. So its headed in the right direction. It’s a large amount of space that we’re working on and I think that [queue] will grow as the market continues to improve. 
Unspecified Company Representative: The other thing to remember is we posted a slide at the Investor Conference that showed leases that had been closed to date and then kind of deals that were out for signature that were going to bring it up and I think that number was roughly 500 to 600,000 square feet of deals that were out. So we closed the DE Shaw, BMW and a couple of others and in the last 30 days have replenished that 350,000-plus square feet of deals that we’ve already closed. So the good news is it wasn’t just sort of like a pop in activity in December. It was a pop that seems to be carrying forward as we go into 2010.
Marc Holliday : I would just add that when you’re looking at potential for job growth, the securities industry has lost something like 28,000 jobs since the recent peak in January, 2008. And in December the securities industry added modestly, but added more jobs than it has since the summer of 2008 and that I think is very telling because as the financials begin to improve and the overall job outlook continues to stabilize we would expect that to translate directly into leasing activity and that queue will get larger. But clearly when we look at statistics like temporary employment stats which have leveled off, securities industry employment stats, which have gotten modestly positive after many, many months of dropping 1,000 to 2,000 a month, we’re [emboldened] by that. 
Operator: Your next question comes from the line of Jordan Sadler - KeyBanc
Jordan Sadler - KeyBanc: Could you provide some color on the reserves that were taken this quarter. What were they surrounding and maybe the magnitude seemed a little bit higher than you had anticipated a few weeks ago, so maybe just discuss what came about. 
Unspecified Company Representative: Its principally related to two positions, one’s on a mortgage position out in New Jersey where we had been working closely with the senior lender there and we’re hopeful of getting a restructuring done. Its unclear that that’s going to come to pass so we took the opportunity to go ahead and reserve that position. And then the other position is a mezzanine piece where the borrower has a pay in kind option and elected on their semi annual payment to go for paying in kind and actually not pay there in December so given that which was not entirely expected, we went ahead and took a reserve against that position until we get greater color as to what’s going to transpire there on a very sizable corporate position. We’re a small piece of it but it’s a sizable restructure. Those are the two positions that kind of drove the lion share of that reserve. 
Jordan Sadler – KeyBanc: Did you say that was in New York property.
Marc Holliday : The first one was a New Jersey property where we think that just given values, what happened there, its highly impaired and the second one is a Mountain New York corporate credit where we reserved essentially half the investment. 
Jordan Sadler - KeyBanc: And then just as a follow-up maybe you could walk us through, I know you’re limited in terms of what you can discuss on 510 Madison, but what is sort of the opportunity set in that 510 Madison type investment as you see it here. I mean, making more investments through the structured finance book. 
Marc Holliday : Not to base it on 510, I mean we have had and continue to have an active structured finance book in Manhattan. The Manhattan book as we’ve said in the past is we perform much, much better until the return, than we have in the non-New York book. And its created I guess at this point five good pipeline investments for us so I wouldn’t say it’s not a new door that’s opening for us, its just a continuation of a program that’s been very profitable in the past over $250 million of aggregate profits, five pipeline buildings, and a book of assets in New York whether its already on book which we think is a good solid book of assets in New York or an ability to add to that with some new origination opportunities, acquisition opportunities. We are seeing more and more of that and I think within our sweet spot in New York we’re continuing to be active. Generally on a smaller scale than 510 but 510 was somewhat in our eyes a unique opportunity. 
Jordan Sadler - KeyBanc: Is it safe to assume that you’d expect something else to unfold there and we shouldn’t expect that the 2.9% return you highlighted in the supplemental is sort of the end all. 
Andrew Mathias : The loan matures in March, so there’s several scenarios, obviously that can play out in March but that return won’t hold beyond then. 
Unspecified Company Representative: If you look at the footnote in the supplemental, that return excludes the discount so the related amortization, so I think whether the loan gets paid off or something else happens, that it would meet the requisite return requirements that Marc had highlighted earlier in the call. 
Operator: Your next question comes from the line of Josh Attie - Citi
Josh Attie - Citi: You noted in the press release that tenants are coming to you and asking for early extensions, what would you need to see fundamentally for you to be less inclined to renew leases today that may expire in 2011 and beyond. 
Marc Holliday : I think we’re always pretty desirous of doing that and we’ve talked about that a lot as part of our strategy. I mean the only way we wouldn’t do it is if we just think that the terms being requested today are out of market with what I would call, not the future leasing market, but the market today over the next year or two. So I think we’re looking for a reasonable balance. A lot of tenants are willing to commit to transactions on that basis and we’ve evidenced that with 1.5 million square feet of leasing in 2009 where the contractual expirations I think were under 800,000. So clearly the balance of that leasing is all future activity and we think that basically acts as a stabilizing force in the portfolio and gives us negotiating strength with other tenants as well. So I think we’re pretty desirous, the only thing I would point to is if somebody comes out with some unreasonable expectations particularly on concessions. If its an existing tenant who’s looking for unreasonable concessions then we just won’t do it. 
Josh Attie - Citi: So we shouldn’t interpret that as that you don’t necessarily think that its going to be a much better leasing environment in 2011 and 2012. 
Marc Holliday : So you shouldn’t interpret—
Unspecified Company Representative: Even at the height of the market you’ll recall that we had the same philosophy. We never took the position of holding vacancy simply to ride the market. Recognizing that we have 900 to 1.5 million square feet of roll every single year, it would be imprudent to let that number get too big simply because we thought the market was going to fall in our favor. It’s a much more conservative approach towards managing our rent roll. 
Marc Holliday : Other landlords do, we don’t and its not market timing, we just don’t do that as a corporate policy. We blend and extend at, market or reasonably foreseeable market for players and we’re not going to whether we thought the market was going up dramatically or not, we’ve got space maturing in future years that will deliver into that increased market. 
Operator: Your next question comes from the line of Brendan Maiorana – Wells Fargo 
Brendan Maiorana – Wells Fargo : You talked about the return requirements and expectations for the Class A or core properties, can you give us a sense of where the returns are, the return threshold for some of the non-core or smaller assets and how narrow does that spread need to get before you’d look to sell some of your smaller or non-trophy type assets relative to monetizing gains in some of the core or trophy assets. 
Andrew Mathias : I think in the smaller non-core assets, you’re likely looking at sort of 200 to 400 basis points premium to the returns that Marc cited. There’s still not a lot of trading in those assets as well and generally where they’re stabilized they’re getting a lot of bids. Where they’re not stabilized and where there’s large vacancies you’re seeing people try to demand more opportunistic returns. I think the dynamic we saw in 2005, 2006, and 2007 where that gap narrowed to call it zero to 100 basis points where the B’s were trading right on top of the A’s, was a time when we took advantage of selling a lot of Class B assets and we look for similar types of conditions or particular opportunities within some of the smaller non-core buildings in order to make a decision to sell. 
Brendan Maiorana – Wells Fargo : And then do you think there has been a change or more aggressive underwriting assumptions in terms of forward expectations of occupancy rates concessions on the part of buyers to drive their return requirements. 
Andrew Mathias : Yes, and I think certainly the assets that are being marketed and the buyers who are buying are putting in increasing rents in their models. At today’s rent and today’s concession packages, it would be very difficult to achieve the type of prices we’ve seen when assets, the few assets that have sold have traded. I think generally people are modeling rental growth, concession tightening this year, rental growth starting in 2011 and the return to a more normal market as vacancy declines a bit. 
Brendan Maiorana – Wells Fargo : And have you gotten more aggressive in terms of your forward expectations in the past six months or so. 
Andrew Mathias : Certainly within the past six months with the pickup of leasing that Steve Durels discussed I think we’ve, its really just refining timing. I think we’ve always been bullish on a recovery given the lack of supply and the same dynamics that we’ve been talking about in Manhattan but in terms of timing with the job losses in New York not being as bad as the city itself had projected, and a pickup in activity we’ve taken a little bit more bullish stance and I think you’ve heard us say we expect to try to tighten up concessions this year. And we hope to return to some level of rental growth in 2011 and beyond. 
Operator: Your final question comes from the line of Vincent Chow – Deutsche Bank 
Vincent Chow – Deutsche Bank : Just want to follow-up on the unsecured question from earlier, did I hear, did the preferred offering preclude you from thinking about a non-secured offering later in the year and how are you thinking about the convert that’s [playable] later in the year. 
Unspecified Company Representative: I don’t think it precludes it at all. It was just opportunistic and gave us a chance to get in some equity. We’re continuing to look at the unsecured market. We have the cash on hand as we talked about before to retire the unsecured obligation that come due in 2010 and 2011 including the converts, they’re putable in June of this year. But certainly the unsecured market, it continues to tighten, it would be an efficient option for us and then would make that cash that we have on hand available for external purposes because we could use a new unsecured issuance which was not originally contemplated to kind of refinance and turn out those 2010 and 2011 obligations that we have coming due. 
Vincent Chow – Deutsche Bank : Can you also just comment on the [Vivendi] lease that’s coming due in 2010.
Unspecified Company Representative: They renewed for a couple of floors over there and if you recall we don’t manage that building but we have an investment in it. But they renewed for a couple of floors, a big chunk of the space had been subleased out to a variety of tenants and there’s been a substantial amount of leasing that’s been completed in the past 60 days. We can provide some additional specific color on that but it would have to follow this call. 
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments. 